Operator: Good day, and welcome to the Frontier Communications Third Quarter 2018 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Mr. Luke Szymczak. Sir, please go ahead.
Luke T. Szymczak - Frontier Communications Corp.: Thank you, Travis. Good afternoon, and welcome to the Frontier Communications third quarter earnings call. My name is Luke Szymczak, Vice President of Investor Relations. With me today are Dan McCarthy, President and CEO, and Sheldon Bruha, Senior Vice President and Interim CFO. The press release, earnings presentation and supplemental financials are available in the Investor Relations section of our website, frontier.com. During this call, we will be making certain forward-looking statements. Forward-looking statements, by their nature, address matters that are uncertain and involve risks, which could cause actual results to be materially different from those expressed in such forward-looking statements. Please review the cautionary language regarding forward-looking statements found in our earnings press release and other SEC filings. On this call, we will discuss certain non-GAAP financial measures. Please refer to our earnings press release for how management defines these non-GAAP measures, reconciliation to the closest GAAP measures, and certain shortcomings associated with these non-GAAP measures. I will now turn over the call to Dan.
Daniel J. McCarthy - Frontier Communications Corp.: Thank you, Luke. Good afternoon, everyone, and thank you for joining us today. Please turn to slide 3. We continue to make progress executing our plan in the third quarter. We achieved revenue of $2.13 billion, with both Consumer and Commercial revenues declining sequentially. Churn improved from third quarter last year, and I will discuss this in more detail shortly. Consumer ARPC was also stable sequentially and Sheldon will discuss this further. Adjusted EBITDA of $878 million was a very solid result particularly when one considers the sequential revenue decline and the headwind caused by increased expenses such as branding initiatives in the quarter. We had a very substantial expansion of our transformation initiatives in the third quarter. This process will continue to accelerate in the fourth quarter and will carry through 2019. We remain very confident in our ability to attain the $500 million EBITDA benefit we target from this program. Please turn to slide 4. Seasonality continued as a theme for the first portion of the third quarter, and the trend improved in the final month of the quarter. Overall, total broadband net losses were 61,000 as compared to a loss of 32,000 in the second quarter. The majority of the sequential change was driven by a swing in Commercial with seasonality in copper broadband accounting for the remainder of the change. In contrast, fiber broadband results improved slightly sequentially. Please turn to slide 5. Our churn initiatives continue to yield results. There are several items I'd like to cover on this slide. First, our churn in CTF markets improved sequentially despite heavier seasonality. It's also noteworthy that it improved over the prior year's performance. Second, within CTF, FiOS broadband churn, which isn't reported on the slide, we delivered an even stronger sequential and year-to-year improvement in churn, illustrating that our initiatives are yielding results. Finally, the sequential increase in legacy churn reflects seasonality, and it remains stable with the result from third quarter of last year. Net adds were a result of lower gross activations, and this was driven by lower marketing efforts as we prepared for rebranding, higher competitive intensity, and lower additions in cap markets as construction of new areas was slightly slower than planned. The comprehensive work already accomplished on our systems supporting our copper bundle customers and several transformation initiatives should yield improvements over the coming quarters. Seasonal pressure abated in September in line with our expectations and I feel good about our ability to deliver improvements in revenue and continued stability in EBITDA in Q4. Longer term, I anticipate that our transformation program will yield further improvements in revenue, expense and EBITDA trends. Please turn to slide 6. Last quarter, we introduced our transformation program, targeting a $500 million run rate EBITDA opportunity by year end 2020. We've expanded the scope of our initiatives substantially over the course of the third quarter, and we will continue to accelerate the program through year-end 2018 and 2019 as well. I want to take some time to provide you more color on the initiatives that are underway. We have grouped the initiatives into three primary categories: revenue enhancements, operational enhancements, and customer care and technical support. Naturally, we expect that many of the solutions we implement will yield benefits across these categories. I'll start with the range of initiatives in the revenue enhancement category. Let me address the initiatives that are focused on improving broadband trends in copper and fiber markets. These are driven by teams focused on sales efficiency, sales conversion, customer churn, and new commercial product introductions. Looking at churn as an example, we have specific teams focused on different life cycles of churn. Each phase of a customer's life cycle presents unique challenges and opportunities. As we identified discrete solutions, we are implementing changes to processes and activities rapidly. This will allow us to impact multiple cohorts of customers in an accelerated manner. Other initiatives include teams focused on enhancing the experience for both new and existing customers, as well as other teams focused on new products and product enhancements for both consumer as well as for the various tiers within Commercial. In addition, we refine Commercial customer segmentation, while seeking to identify the best go-to-market approach for each cohort. We also have teams working on product enhancements. For example, we're expanding availability of gigabit broadband across our entire FiOS footprint, and we introduced enhancements to our SD-WAN product recently. We are developing new products geared towards different commercial verticals. Let's move to the next category, operational enhancements, where our approach is equally broad. One of our largest opportunities is improving efficiency in all areas of the service assurance process streams. In the process of centralizing management and creating separate Consumer and Commercial units, we identified residual opportunities for efficiency gains. These pockets of inefficiency translates to unnecessary truck rolls, higher overtime, and delays in customer activity scheduling. We have a team focused on improving processes, standardizing configurations of equipment, and enhancing the customer experience in all aspects of service assurance. It is identifying issues, testing solutions, and scaling them into production rapidly. We're seeing solid results and expect to improve our cost structure, enhance the customer experience, and achieve improved customer activity metrics over the coming quarters as a result. Let me provide some color on the third category, customer care and technical support, where we have teams evaluating ways we can address issues that expedite resolution by eliminating the need to talk to a representative. This is a true win-win opportunity. Customers get resolutions much more quickly, and we improve our customer satisfaction while reducing costs. The benefits of lower call volume will be twofold. First, lower call volumes translate to a reduction in operating expense as well as a higher percentage of our calls being handled internally, improving the customer experience and effectiveness of the interaction. We're also improving our communication techniques with customers. A new approach to managing appointments using text and e-mail keeps the customer in the loop and in control, reducing the need for them to call our care team. We also continue to expand the capabilities available to our care reps, so that they can be more responsive to customer requests and inquiries as well as more closely tailor our products to customer needs. I'm very pleased with the progress to-date with our transformation program, and I'm even more confident that we have a substantial opportunity ahead of us. It is still very early in the program, but we are beginning to see results. So, in summary, we are targeting $500 million in EBITDA run rate improvements by year-end 2020, and the entire organization is fully focused on this objective. I'll now turn the call over to Sheldon Bruha to discuss our financial performance in more detail.
Sheldon Bruha - Frontier Communications Corp.: Thank you, Dan, and good afternoon, everyone. I will review our third quarter financial performance and provide an update on guidance for 2018. Once again this quarter, we show results on the basis of the current ASC 606 standards as well as the previous ASC 605 standards for comparability where appropriate. Please turn to slide 8. Total Q3 revenue was $2.13 billion, a decline of approximately 1.7% compared with the second quarter of 2018 and consistent with the sequential trend in the second quarter. The third quarter net loss was $426 million which included a goodwill impairment of $400 million or $354 million net of tax, a valuation allowance for income tax in certain states of $44 million and pension settlement expense of $7 million net of tax. We continue to execute well in managing expenses, illustrating our ongoing cost discipline. Adjusted operating expenses declined $30 million sequentially in a quarter where we had additional expenses related to the launch of a new Frontier branding initiative as well as higher power and AC costs related to more extreme summer heat waves and higher overtime costs related to summer activities. Third quarter adjusted EBITDA was $878 million which was nearly in line with the second quarter. Adjusted EBITDA margin of 41.3% improved sequentially, and we continue to target adjusted EBITDA margins above 40%. Net cash from operating activities in the third quarter was $286 million. The decline from the second quarter level of $672 million was expected as a result of the cyclicality of cash interest payments. Our cash interest payments are significantly higher in Q1 and Q3 and lower in Q2 and Q4. So this result fits with our normal quarterly pattern. Finally, trailing 12-month operating free cash flow in Q3 was positive $604 million. Please turn to slide 9. Once again this quarter, we are providing results under our prior accounting standards, and for comparability, my comments on this slide will be based on the prior accounting standards. We now have four sequential quarters of roughly stable data and Internet services revenue, which reflects the benefits of our continued improved execution, particularly in broadband services revenue which is a component to this category. Within Consumer, once again, the largest pressures were in voice and video revenues. Nearly half the sequential Consumer revenue decline related to video. We are making progress in our Consumer business and expect to improve Consumer revenue trends in the fourth quarter. Within Commercial, we're pleased that we had another quarter of stability in wholesale but we also had another sequential decline in SME. We do expect better trends in SME; however, we also anticipate the potential for some pressures in wholesale going forward. Lastly, regarding regulatory, we continue to see declines in USF fees that we bill and minor declines in switched access. These categories were part of regulatory revenue under ASC 605, but now under ASC 606, USF is contained within Consumer and Commercial revenue while switched access is part of Commercial revenue. Please turn to slide 10. Excluding the adoption of ASC 606, consumer ARPC was $83.20 per month, the third consecutive quarter of ARPC stability. This reflects the continued benefit of improved base management, offset by secular declines in video. Please turn to slide 11. Capital spending in the third quarter was $329 million. Approximately 75% of our capital program continues to emphasize revenue-generating and productivity-enhancing projects. The focus of our capital spending remains consistent. We continue to focus on our CAF builds and has built to 395,000 locations as of the end of third quarter. We have also been successful with various state grants to build high-speed Internet in areas that weren't covered by CAF funding. And we also continue with the deployment of PEGA-based enhancements to customer care capabilities. We are increasing our capital spending guidance for the year to a range of $1.15 billion to $1.2 billion. This reflects a number of factors including increased high-speed broadband investments including expansion of gigabit broadband availability across our fiber footprint, higher Ethernet spending driven by upgrades to backhaul and transport to support broadband customers and a refresh of outside plant inventory, primarily in ONTs driven by the evolution of our product set. Please turn to slide 12. This slide shows our debt maturities on a pro forma basis. Following the close of the quarter, we repaid the remaining $431 million of our 8.125% unsecured notes maturing on October 1. We also drew $450 million of our revolver on October 1. As I mentioned earlier, given the timing of our interest payments, Q4 along with Q2 are large cash generation quarters for us. As such, we have already repaid $150 million of the revolver balance leaving us with $300 million currently outstanding, and we expect to have the revolver fully repaid well in advance of reporting our fourth quarter results in February. We have about $400 million of unsecured notes coming due in March 2019, anticipate drawing our revolver at that time as well. Once again, that draw will be temporary and we will pay that down as our quarterly cash flow swing back to cash generation. The repayment of these two maturities will result in cash interest expense savings of $64 million per year, and future cash generation and deleveraging will drive additional cash interest savings and cash flow benefits. After next year, we have modest unsecured maturities well-spaced across 2020 and 2021. We have ample liquidity to meet all those obligations as well as the runway to focus on executing on our initiatives to improve the business, and to achieve the $500 million EBITDA target of our transformation program. Executing on our priorities will expand the range of options over time, including the ability to refinance our longer-dated maturities in the high yield market. Nonetheless, we will continue to evaluate balance sheet alternatives, and we remain committed to reducing debt over time and improving our leverage profile. For instance, we recently entered into an agreement to sell 95 wireless towers for approximately $80 million. This transaction will be immaterial to revenue, earnings and adjusted EBITDA, and illustrates our ability to monetize non-core assets as opportunities arise. Please turn to slide 13. We are updating our guidance for 2018. For the full year, we expect adjusted EBITDA of approximately $3.55 billion. This represents EBITDA guidance for Q4 of approximately $880 million. As I have previously discussed, we expect 2018 capital expenditures to be between $1.15 billion and $1.2 billion. We expect operating free cash flow of approximately $625 million for 2018, primarily reflecting the changes to EBITDA and capital expenditures previously mentioned. And finally, we expect full year 2018 cash interest expense of approximately $1.5 billion, cash taxes of less than $10 million and cash pension and OPEB of approximately $140 million. As we have discussed, we anticipate company-wide initiatives to continue to translate into improving trends in our financial results, and we remain confident in our ability to continue to improve the business. I will now hand the call to the operator who will open it for questions.
Operator: Thank you. Our first question comes from Batya Levi, UBS.
Unknown Speaker: Hi. This is Chris (00:20:11) for Batya. It looks like you lowered the free cash flow guidance by $175 million, and it looks like the other moving pieces with EBITDA, CapEx, taxes and pension accounts for $125 million of that. Can you help us bridge what the difference may be? And then on the subscriber side, it looks like Consumer losses were stable quarter-over-quarter but Commercial broadband trends worsened going from gains to losses. Can you discuss what drove that big swing quarter-over-quarter?
Sheldon Bruha - Frontier Communications Corp.: Okay. Thanks. This is Sheldon. I'll address the first question around free cash flow guidance. The operating free cash flow, we've now guided for $625 million for the year. Look, this is primarily driven by the CapEx and EBITDA, as you've highlighted. I think if you take the midpoint of the current CapEx range versus the prior CapEx range, that's about $100 million. Certainly narrowing our EBITDA range for the year is the other key driver which drives about $15 million of adjustments. I think the other items of course small, mostly miscellaneous items, such as working capital, and that was going to – that drives the balance of the operating free cash flow change in guidance.
Daniel J. McCarthy - Frontier Communications Corp.: Chris (00:21:31), this is Dan. I think you're right on the Consumer side. It was fairly consistent with the same period last year. We did see some improvements on the FiOS and fiber side and really normal seasonality on the copper side in the legacy. On the Commercial side, as you highlighted, it wasn't so much a radical change in trends as it was a non-recurring large deal that happened last quarter that we highlighted. Other than that, it was a fairly stable trend on the Commercial side, and we look for – to make improvements on the Commercial side as we introduce some new products targeted at different small verticals over the coming quarters.
Unknown Speaker: Thanks. And if I can just follow up, you talked about the seasonal pressures to sub trends abating in September. Any early color you can give on what you're seeing so far in 4Q?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. It's exactly what we thought. We had just gone through a rebranding and relaunch moving to a more modern approach at trying to target different segments. And the initial reaction has been good, I'd say, especially in the FiOS areas. I think we'll continue to work on improving the copper trends, but I think the FiOS trends are absolutely improved.
Unknown Speaker: Okay, great. Thank you.
Operator: Our next question comes from Frank Louthan.
Frank Garreth Louthan - Raymond James & Associates, Inc.: Great. Thank you. Can you talk to us a little bit about the pace of the $500 million improvements that you're looking at? How backend weighted is that in 2020? Is that going to be kind of fully realized run rate exiting 2020 or should we start to see some of that in the beginning of next year? And then, I have a follow-up.
Daniel J. McCarthy - Frontier Communications Corp.: Sure, Frank. It's Dan. I would say that we absolutely will see benefit in 2019. I think that it will build across the year, and you will see it with a significant exit rate, and then you'll see the rest of it continue to grow through 2020 and get to that $500 million level as we get to the end of 2020. We are working multiple, as I pointed out, work streams currently. Each one of them is designed to deliver multiple incremental EBITDA lift levers. And the teams are literally across the country working on all of those different areas. I think you should expect to see moderate impact very early in the year, building mid-year and really getting significant just because that's the way the smaller streams will build over time. And we plan on giving you a lot more visibility of that as we report Q4 results in February.
Frank Garreth Louthan - Raymond James & Associates, Inc.: And do you expect to see positive subscriber growth along with these initiatives? Is it going to result in that or is it really just kind of more taking the cost out? And then I guess the last one is did you have any – and I apologize, you've mentioned this, do you have any impact from the hurricanes early in Q4 and can you quantify that?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. The hurricane had minimal impact for us. Frank, we were very fortunate. Went right between our Alabama property and Tampa, as you know. So really, it didn't have that much of an impact. We certainly mobilized, and we're ready but we were very fortunate. As far as your question on the transformation, clearly, we have a lot of opportunity ahead on the expense side, but we're equally as excited on sales effectiveness, efficiency and really churn reduction. And those are some of the earliest teams that we've put in place, trying to affect every cohort on the churn category. As we've said over the last couple of quarters, Frank, we're doing okay on the gross debt. I think we could do better on that on the FiOS side. But really, the opportunity in that segment is around improving churn. That's where a lot of the focus is. And then on the copper side, it's – we've done pretty well on churn. There's still some improvements we can wring out there, but it's really more about activation. So, clearly, we think there's big opportunity changes with the subscriber trends, and that will just build as we implement smaller improvements in all of those different categories over the next quarters.
Frank Garreth Louthan - Raymond James & Associates, Inc.: All right. Great. Thank you.
Operator: Our next question comes from David Barden.
Unknown Speaker: Hey, guys. It's Josh (00:26:12) in for Dave. Thanks for taking the questions. Just a couple if I could. Have you seen any uptick in small business performance with higher GDP, lower unemployment, tax reform? And the market seems to be somewhat concerned about an economic reversal, and what would that mean for the business? Secondly, have you seen any overlap in LA with Verizon's fixed wireless, and do you expect any promotions or anything around that? And then lastly just housekeeping, it looks like there's a $14 million restructuring charge add-back. Just wanted to see if you could give any color on that. Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: Sure. So, Josh (00:26:51), for – I'll take the first three. First, we have not seen any impact from Verizon's trials in the LA market, so no impact. We're not seeing that, not hearing it, and we're not seeing any loss of customers to that at this point. On the reversal, the interesting thing about the position we find ourselves in is that after doing two large deals over the last couple of years, the section of the economy that was really, I would say, most – or could be most impacted by a pullback in the slowdown are areas that we have fairly low market share in. Those are opportunities for us rather than a base that could be forced out of, in some cases, the small side out of bankruptcies, different things like that. So we don't see it as a big risk. We are purposely looking at different opportunities to go after mass in a different way, and that will involve different channel partners. We've experimented with that repeatedly over the last, really, four or five quarters. I think we're honing in on what the right strategy is, and we're making some further changes on that. And we do see, as it sits right now, still very strong opportunity. It's about putting the right products and the right channels together to really capitalize on that. So that's a key part of the transformation efforts. We've done a lot of foundational work on it. Now, it's about really executing on some of the work that's been done upfront.
Sheldon Bruha - Frontier Communications Corp.: Yeah. And just on the last point, Josh (00:28:24), regarding the restructuring costs that's showing up. That's primarily related to expenses we're recognizing for our transformation initiative. We're accruing expenses that are directly related to this program from both internal and any external parties, and would expect and we're incurring that quarterly, we expect that level in Q4 to be similar to where we are in Q3. We've created an arrangement that is tied directly to the program's outcome that we have outlined, and we believe this is sort of a unique approach in terms of aligning incentives with the objectives of increasing the benefits we can achieve from this program. So we'll be beginning to quantify more of the benefits of this program in the coming quarters and provide you more guidance on that in February, that's the understanding of some of the transformation costs within the restructuring line of the EBITDA.
Unknown Speaker: Got it. Thanks for taking the question.
Operator: Our next question comes from Matt Niknam.
Matthew Niknam - Deutsche Bank Securities, Inc.: Hey, guys. Thank you for taking the questions. Just two if I could. First on the Consumer side. Can you give us any updates on what you're seeing competitively just given some of the strength we've seen from the cable broadband reports this quarter? And then just on the 1-gig broadband extension, I assume that's – you mentioned I think it's going to go to your fiber footprint. So is that 5 million homes and then within that, what's your existing market share today? Thanks.
Daniel J. McCarthy - Frontier Communications Corp.: I can add on the first one – on the competitive side on the Consumer. Clearly, we've seen a high level of intensity from both Charter as well as Comcast. I think we've responded well. We've held our own in the FiOS markets. We haven't seen – as you saw, we had – or as I mentioned, we had an improvement in churn growth activations. Part of it was really more about us slowing down marketing a little bit, so that we can focus on the rebranding effort and go to market in a fresh clean approach. But once we've gone back in, we really haven't seen a degradation in our performance. As we focus on enhancing some of the techniques around churn, that's really where I think we're going to see a lever that we can pull on the Consumer side that will help us on the net and start growing the FiOS base. But we're pretty close at this point as you can probably see from the graphs. And on your second question, could you just repeat that one more time because I couldn't hear it very well?
Matthew Niknam - Deutsche Bank Securities, Inc.: Yeah. It was just about the 1-gig expansion. How many homes is that going to hit? And then if you can share any idea of what your market share is within those homes today.
Daniel J. McCarthy - Frontier Communications Corp.: Yeah. So on that front, we actually can provide gigabit across the markets and that really initiative is about being proactive and looking at where we anticipate density of sales and then upgrading selective parts of the network in anticipation of higher demand for gigabit services. But we can offer that today if a customer is really looking for it. But again, that's a more proactive approach and we'll accomplish it as we go into in the beginning of next year and that really set us up for a lot more flexibility as we go forward on what we want to market and how we want to market things.
Matthew Niknam - Deutsche Bank Securities, Inc.: Thank you.
Operator: Our next question comes from Mike McCormack.
Mike McCormack - Guggenheim Securities LLC: Hey, guys. I assume it's Mike. Just some thoughts, Dan, if you would on, cables obviously rolling out the wireless MVNO across all three of the big cable guys. Is there anything there that you guys could be doing as far as trying to roll something like that in to reduce churn? And then I guess secondly on your comment regarding other balance sheet alternatives, what other assets should we be thinking about that might be available to divest, if need be?
Daniel J. McCarthy - Frontier Communications Corp.: Yeah, Mike, on the potential partnership for wireless, we're always looking at it. We tried it, I think you may remember with actually all three of the major partners along the way, and we went to market and tried to create a differentiated product. Didn't have as much success there. It's something that we keep an eye on and try and decide whether or not it really can move the needle on churn. But at this point, we think we have a lot of other opportunities both on customer experience as well as better performance and execution that are probably bigger levers. But we will keep an eye on that, and it'll be something that we continue to take a look at.
Sheldon Bruha - Frontier Communications Corp.: Sure. On the property sales, I'd just highlight, first of all, on the one that we did announce these wireless towers, these were towers that we had other third-party tenants on and so it's – they were certainly more straightforward to monetize. We did not – we continue to have the right to have access to these towers and at sort of no lease. So, this isn't a sale leaseback approach. This is a monetization of an asset that they're sort of non-core. And I think as we look to other opportunities through our portfolio, I don't think we'd be emphasizing in terms of the sale leaseback alternatives if you're looking once again for perhaps either property or otherwise that we could monetize that would be non-core from our business.
Mike McCormack - Guggenheim Securities LLC: Great. Thanks, guys.
Daniel J. McCarthy - Frontier Communications Corp.: Travis, this will be the last question.
Operator: Yes, sir. Our final question comes from Simon Flannery.
Simon Flannery - Morgan Stanley & Co. LLC: Great. Thank you very much. Good evening. Could you talk a little bit more about the capital spending and what was it that – I know you went through into the individual items, but how come at this sort of point in the year you decided to raise it? What had really changed to cause that? And how should we think about 2019, is this a new baseline for 2019 or is this a kind of a temporary step-up? And then on the video business, there's a lot of obviously trends towards cord cutting, et cetera. And how are you thinking about the profitability of that business? And I think Century (sic) [CenturyLink] (00:35:16) for example is getting out of the business in terms of marketing to new customers. Are you thinking about something more radical about the video business going forward? Thanks.
Sheldon Bruha - Frontier Communications Corp.: Sure. Just on the CapEx spend, I think as I mentioned earlier, a lot of this is very much in line with our priorities and initiatives from the organization in terms of spending on – pre-spending on the high-speed broadband investments and the Ethernet transport and backhaul supporting that and inventory increases, related to the outside plant gear associated with the ONTs, et cetera. And I think this is potentially a progression of what we've been developing throughout the year. I think the spend essentially has drifted up a bit higher from the initial range. I think we would highlight that I think some of the other areas that probably have brought us a bit over the top, there have been some delays in how we're seeing insurance reimbursements coming from the last year's storms that we've been processing. Part of that actually is there's been some spillover CapEx from those 2017 events into 2018. As much as anything, those spillover events have contributed some delays in the processing of these insurance claims as additional work has been incorporated into our overall insurance submissions.
Daniel J. McCarthy - Frontier Communications Corp.: And, Simon, on the video business, we continue to do, I think, a pretty deep dive and thoughtful review of video. What we found is that in the markets where we serve, it's a very valuable product that customers attach a high degree of value, in addition to the broadband bundle that goes with it. So we still believe that a linear has a very strong place in the portfolio. It doesn't mean that we shouldn't be working on profitability. So we have initiatives on everything from content and structure of our content agreements to changes in bundle sales incentives through a variety of channels, reductions of CPE cost to improve customer lifetime value of customers we bring into it. So we have many different initiatives. Some of them are in the transformation efforts. Some of them are outside of it. But it's really around driving enhanced profitability both from a gross margin perspective and a lifetime value perspective. But we still see linear as playing a very significant portion especially in the CTF markets in Connecticut.
Simon Flannery - Morgan Stanley & Co. LLC: Great. That's useful.
Daniel J. McCarthy - Frontier Communications Corp.: Well, thank you everybody. I just wanted to leave you with the following thoughts and observations. So first, our third quarter results were solid despite the seasonal headwinds we experienced. Second, we are expanding our product offerings and continue to focus on leveraging our fiber networks to be on the leading edge of services. And finally, we are rapidly expanding our transformation program, and we will continue to accelerate this program over the coming quarters. So I want to thank you for joining us today, and I look forward to updating you on our Q4 results.
Operator: Thank you. Ladies and gentlemen, this concludes today's teleconference. You may now disconnect.